Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Fourth Quarter 2013 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded Thursday, December 19, 2013. I will now like to turn the conference over to Arnold Donald, President and CEO. Please go ahead, sir.
Arnold W. Donald: Thank you, Kelly. And good morning, thank you for joining us today, and a sincere happy holidays to everyone. With me today is our Chairman, Micky Arison; our Chief Financial Officer, David Bernstein; our Vice President of Investor Relations, Beth Roberts. And as Kelly pointed out, I am Arnold Donald, President and Chief Executive Officer of Carnival Corporation & plc. We'll begin with David Bernstein for a review of our financial performance and outlook, and then I will share some prepared remarks before we open it up for the Q&A session. David?
David Bernstein: Thank you, Arnold. Before I begin, please note that I must -- that some of our comments on this call will be forward looking. I must refer you to the cautionary statements in today's press release. Also, all of my references to revenue and cost metrics will be in local currency, as this is a much more meaningful measure of business trends. What I'm going to do is start by walking you through the third quarter of 2013. I'll then recap the full year 2013, give you some insight on the current booking trends and then talk about the guidance for 2014. As part of the guidance, I will give you some explanation on how we reviewed the 2014 cost increase from what we said on the previous conference call. For the fourth quarter, our non-GAAP EPS was $0.04. The fourth quarter came in $0.04 above the midpoint of our September guidance. This was driven by better-than-expected revenue yields for both net ticket and net onboard. This occurred mainly at Carnival Cruise Lines and was worth $0.05 a share. We also had lower fuel prices and favorable FX rates, which was worth $0.02 a share. All of this favorability was partially offset by the 3% -- or the $0.03 of higher cost. Now let's look at the fourth quarter operating results versus the prior year. Our capacity increased 3%. Our total net revenue yields in the fourth quarter declined 2%. I will break apart for you the 2 components of total net revenue yields: net ticket yields, and net onboard and other. First, net ticket yields. Our net ticket yields declined 3%, and this was driven by the North American brands that were down 6% due to promotional pricing at Carnival Cruise Lines and lower yields at the premium brands. Our EAA brands were up almost 2%, driven by increases at Costa that were partially offset by declines in our other European brands. Net onboard and other yields increased just over 1%. Our EAA brands experienced an almost 2% increase that was tempered by flat yields at our North American brands. However, our North American brands did show a nice improvement from the third quarter. On the cost side, net cruise costs per available lower berth day, excluding fuel, were up 6.5% versus the prior year, and this was driven by vessel enhancements and higher advertising expense as we invested to accelerate our recovery. This increase was a bit more than we expected in our September guidance, but that was mostly due to the timing of certain expenses between the fourth quarter of 2013 and the first quarter of 2014. In summary, the fourth quarter non-GAAP EPS was $0.10 lower than last year. It was driven by lower net ticket yields and higher net cruise costs, without fuel, partially offset by improved fuel consumption and lower fuel prices. Recapping the full year 2013. This past year was impacted by voyage disruptions at Carnival Cruise Lines, and as a result, the earnings for 2013 were down. Our non-GAAP EPS was $1.58 versus $1.94 for the prior year. The decrease was driven by a number of things: lower net revenue yields costing $0.42; and higher net cruise costs, without fuel, which cost us $0.40. However, both of these were partially offset by lower fuel consumption per ALBD of 5.3%, which was worth $0.17; lower fuel prices worth $0.14; and everything else together was about $0.15. For 2013, our total net revenue yields were down 2.6%. The North American brands were down 3%, and again, this was driven by promotional pricing at Carnival Cruise Lines. However, I will say we were very pleased that the surveys show a significant recovery in the brand perception at Carnival Cruise Lines since the voyage disruptions. We benefited from this in the fourth quarter and we expect to benefit from it going forward. In addition, at Costa, the surveys were also very encouraging. They showed an improvement in brand perception, and that led to a 4% yield increase from the prior year. Although Costa had a nice yield recovery, it was more than offset by our other European brands, and that resulted in about a 2% decline in yields for our EAA brands. On the cost side, a 4.6% increase in net cruise costs, excluding fuel, was driven by a number of factors: voyage disruptions and related repair costs; higher advertising spend; our investments in new market development initiatives in Japan, China and Australia; the vessel enhancement expenses; higher insurance premiums; and lastly, a charge from a closed pension plan for certain British officers. Turning to our cash flows for 2013. The cash provided by operations was $2.8 billion. And our CapEx, net of asset sales, were $2.1 billion, which left us almost $800 million of free cash flow that was returned to shareholders via the regular quarterly dividend. Looking forward to 2014. Given our expectations for lower yields in the first half of 2013, which includes the down 3% to 4% for the first quarter, and despite an improving trend, positive yields in the back half of 2014 and improving brand perceptions for both Carnival Cruise Lines and Costa, we are expecting yields for the year to be down slightly. However, keep in mind that it is early. Wave season is still a few weeks away. There is a large capacity increase in the Caribbean starting in the second quarter. And also, we still face ongoing challenging economic environments in Southern Europe. Turning to recent booking trends. For the first half of 2014, fleetwide volumes during the last 13 weeks have been running well ahead of the prior year, outpacing capacity at prices that are lower. Despite the recent high volumes, the cumulative bookings for the first half on a fleetwide basis are still behind, at lower prices. As a result of the booking trends, we are expecting lower yields in the first half. Our North American brands are impacted by challenging comps from the first half of last year, as they will book prior to the voyage disruptions that occurred in February. Our EAA brands face ongoing economic environment challenges in Southern Europe, the loss of the attractive Red Sea program and a close-in booking curve that is impacting their first half. For the third quarter, which by the way is still in the early stages of development, the cumulative fleetwide booking status is that occupancies are similar to last year, while pricing is flat. While our expectations for this quarter are tempered by the large capacity increase in the Caribbean, with a solid cumulative booking status, better booking patterns and the first half ramped-up advertising efforts, we are expecting positive yields in the third quarter. That's why we are forecasting an improving trend as we move from the first to the second quarter and then to the back half of the year. Looking at our booking patterns by program for each of our 2 segments. For our North American brands, I'll walk you through the Caribbean, Alaska and the seasonal European program. The Caribbean is behind on both price and occupancy, and this represents 60% of the first half and over 40% of the third quarter capacity for the North American brands. Alaska is behind on price but well ahead on occupancy. Recent booking volumes have been solid, which bodes well for pricing on the remaining inventory. The seasonal European program for our North American brands is showing signs of strength, particularly in the peak summer season, which falls into our third quarter, where we are up nicely in both price and occupancy. For our EAA brands, the year-round European program, which represents over 60% of the EAA brands' capacity, we are seeing a sequential improvement in year-over-year pricing in each quarter from the first to the third quarter for this program. Booking volumes for these European programs for the last 13 weeks have been nicely higher as well. Now let me switch to costs and give you some color on net cruise costs, excluding fuel, for 2014. We now expect cost per ALBD to be up only slightly for 2014 even as we continue to invest in the future. This is a much better than the indication that we gave on the September call. At that time, I did say that the numbers were preliminary and that we would be visiting each of our operating companies to review their 2014 plans. A number of factors came together to reduce the increase. As I previously mentioned, our year-over-year comparison did benefit from the timing of certain expenses between the fourth quarter of 2013 and the first quarter of 2014, and that resulted in about a 0.5 point year-over-year impact. In addition, we found ways to do some of the vessel enhancements in service, thereby reducing dry dock days in 2014. Furthermore, through increased collaboration and cooperation amongst our operating companies, we do expect to see cost reductions in a number of areas. For 2014, we are also benefiting from favorable exchange rates and lower fuel prices, as well as some investments we made in fuel consumption, and we do expect an additional 4% improvement in fuel consumption for the year. So putting all these factors together, for 2014, our non-GAAP EPS guidance is $1.40 to $1.80 per share, with a midpoint that is similar to 2013's non-GAAP EPS. At this point, I will turn the call back over to Arnold.
Arnold W. Donald: Okay, thank you, David. Although 2013 was clearly a challenging year for our company, we nevertheless enjoyed several significant accomplishments. So for example, we made real progress in our Asia growth strategy, doubling our cruise presence in China and successfully launching an inaugural home port in Japan. We opened 5 China offices; a second office in Japan; as well as offices in South Korea, Taiwan, Hong Kong and Singapore, all of which will support our 2014 Asian sourcing, which is again expected to double. We are moving quickly to ensure that we are well positioned to capitalize in this important growth region. Also in 2013, through our 2 innovative new ships AIDAstella and Royal Princess, through ship retirements and through new technology, we have enhanced our fleet and improved efficiency. AIDAstella and Royal Princess are both among the most efficient ships at sea today from both a unit cost and fuel efficiency standpoint, which allows them to produce returns significantly higher than our fleet average. We are also -- retired a smaller, less-profitable Costa vessel. Of course, the upgrading of our fleet is a continuous process. We also announced a more efficient Seabourn ship to replace the 3 smaller original ships in 2016. And in 2013, we announced many exciting new product features to our guest experience, taking our guest experience to new heights, including several new dining concepts, American TABLE, American FEAST, as well as the continued rollout of the extremely popular Guy’s Burger Joint developed with Food Network personality Guy Fieri. We intend -- we introduced new bar concepts as well, including the industry's first shipboard brewery that brews beer from purified seawater on our AIDA line, the Latin-infused Havana bar; as well as the continued rollout of the cocktail-pharmacy-themed Alchemy Bar, the E&A -- EA SPORTS Bar and the very popular RedFrog Pub, all on our Carnival brand. We introduced new entertainment concepts, including a Vegas-like water-and-lights show on deck on Princess; Dancing with the Stars: At Sea, our partnership with the hit ABC show in the U.S, on our Holland America Line; and on our P&O U.K. line, Strictly Come Dancing, partnering with BBC in the U.K.; as well as the continued rollout of the popular B.B. King's Blues Club on Holland America and the Hasbro game show and the Punchliner Comedy Club presented by George Lopez on the Carnival line. For families, we unveiled Carnival Seuss at Sea, an exclusive partnership with Dr. Seuss Enterprises; additional WaterWorks aqua parks; a new ropes course; and an interactive laser game on the Costa line. Our product offering for guests across our fleet has never been better, and there will be more exciting announcements after the New Year. This year, we also embarked upon a number of travel agent outreach programs domestically and abroad. We are gaining traction with our newly introduced Agent Matters program in the U.K.; and here in the U.S., our Carnival Conversations launched in June. That's truly resonated with our travel partners as we implemented a number of initiatives based on agent feedback, making it even easier to sell a Carnival Cruise. And as you know, Carnival Cruise Lines also launched a creative new national advertising campaign featuring the vacation moment testimonials from some of our millions of fulfilled guests. We also unveiled the Great Vacation Guarantee, an unprecedented money back guarantee. These efforts have already borne fruit as we have realized a significant improvement in brand perception and consideration for the Carnival line, already restoring 75% of the drop in perception it experienced earlier this calendar year. We have so far experienced a faster recovery for the Carnival brand than originally anticipated, and our team is working very hard to keep that momentum going. However, we do recognize the limited visibility we have at this point to the peak summer season, where we generate most of our annual profits, and we are very cognizant of the particularly high-capacity growth for the core Caribbean product beginning in the second quarter. So we maintain a level of caution in our focus on identifying additional signs that the pace of recovery we're experiencing is, in fact, sustainable. We have taken a hard look at costs and attacked our challenges head on. I'm very proud of the creativity in our team to execute successfully at lower costs than originally anticipated and, very importantly, without compromising, without compromising on critical investments we need to make to provide the foundation for the growth we expect in return on invested capital, earnings and free cash flow over time. In my first 6 months, I have affirmed what I knew at a visceral level as a board member: the inherent strength of this organization clearly lies in our people. They are passionate and they are dedicated worldwide. Our core product is clearly the best vacation value there is, and of course, our scale gives us tremendous opportunity for improved performance. We have more than 100 ships and 10 million guests each year, twice that of the next largest player the industry. With 78 million passenger cruise days, we have a tremendous opportunity to accelerate earnings growth by leveraging our scale. Operating our brands independently has been successful and it has led to our industry-leading position. The brands will remain independent, especially at the guest interface level, as they become increasingly distinct in the psychographics of the guests they source and they service. Going forward, we do plan to change the focus of our efforts in how we work together across the brands to enable us to leverage our scale. And we want to leverage it far more than we have historically, through greater communication, through collaboration and through cooperation across the 10 brands. We will more fully capitalize on the inherent opportunity that our scale affords us. We have already announced a realignment of our leadership team and have begun to change our work processes and our incentive structure to facilitate these efforts. Our reconfigured leadership team has identified a plethora of opportunities to work together, both on the revenue side and the cost side. On the revenue side, we are collaborating on onboard revenue initiatives and revenue management practices, including consolidating our efforts toward optimizing our pricing models. On the cost side, we are increasing cooperation on procurement, inventory management and port planning. We have begun to mine our opportunities by sizing and prioritizing these and many other initiatives. Our leadership team is driven around the principle that we have the greatest vacation value there is. It is difficult, given the diversity of incredible vacation moments we offer, it is difficult, if not impossible, for guests to achieve the same fulfillment with a land vacation at anywhere near the cost or ease that characterizes our cruise vacations. The inherent value is so great, we simply need to consistently exceed guest expectations, make certain that each guest experiences the brand that's right for them and ensure that they are just wowed when they leave, and that wowed is W-O-W-E-D, wowed. A thrilled guest will advocate for our brands, word of mouth is the most influential method to stimulate new demand. As we increase advocacy for our product, that demand will drive ticket prices higher. Over time, we expect to benefit from the combined efforts of our leadership team and our 120,000-plus global employees. We will continue to invest in prudent ways to accelerate the recoveries in Costa and Carnival that are already underway. And we are ardently focused on delivering a customer experience that surpasses even the high levels we achieve today, driving greater advocacy in each of our brands. We will capitalize on our tremendous product attributes and our industry-leading scale, and through our combined efforts, I have great confidence in our ability to execute and deliver on the expectations that we have set for ourselves, realizing our company's true earnings power and driving significant free cash flow and, importantly, delivering against our objective of returning our company to double-digit returns on invested capital. Kelly, we'd now like to open it up for Q&A.
Operator: [Operator Instructions] And our first question comes from the line of Robin Farley from UBS.
Robin M. Farley - UBS Investment Bank, Research Division: I have 2 questions. First is, I wonder if you could comment on kind of occupancy on the Carnival brand. In particular, you have talked about holding occupancy length. Price dropped a little bit in Q4. I'm just wondering to what degree you did that in Q4 and how you will approach that going forward. And then secondly, your comments about the EAA brands being up 2%, but with others -- Costa up and others down, is that suggesting that Costa's pricing was up maybe 5% or something? I just would love to hear a little more color on that because that would be very encouraging.
David Bernstein: Sure. As far as the occupancy is concerned, we did see Carnival sail with some empty cabins in the back half of the year. That was just a couple of points of occupancy down from their historic numbers. The EAA brands, keep in mind that there are 6 brands in total. The Costa yields were actually up double digits in the fourth quarter and the other brands were down and offset that, which is how we wound up with the overall 2%.
Robin M. Farley - UBS Investment Bank, Research Division: And so is it reasonable to think that, the Costa brand, if this is the first quarter of pricing recovery, that rate of recovery would continue in the next couple of quarters for Costa as well?
David Bernstein: We did see pricing recovery, but it is early, given the booking trends where it is early. And when -- we don't normally give specific guidance by brand as we move forward. But keep in mind, for Costa, the deployment has changed quite a bit and particularly in the winter.
Operator: Our next question comes from Felicia Hendrix from Barclays.
Felicia R. Hendrix - Barclays Capital, Research Division: David, thanks for the color on how the cost guidance changed. I know a lot of people were worrying -- wondering about that this morning. You mentioned that -- in addition to some of the color you gave us, you mentioned that the company is going to see cost reductions in a number of areas, which is a bit of a generic way to describe that. So just wondering if you could give us some specific examples of how that -- how you are seeing cost reductions there. And as we think about the various cost line items that drive your overall net cruise costs, x fuel, wondering about how we should think about each of these for '14, in other words, how to think about payroll and food and SG&A, that sort of thing.
David Bernstein: Robin -- I'm sorry, Felicia, sorry. I don't want to go into all the detailed line items in terms of cost on a year-over-year basis because there's a lot of changes. There's product initiatives that we're investing in. There's a number of areas we found cost savings. But I think I can provide a little additional color. I mean, Arnold had mentioned the cooperation and collaboration in areas like ports and procurement and inventory management. The way these things translate, I'll give you an example: In North America, we looked at all the commercial printing. There were over 70 vendors that we were using on -- for different types of printing. We rationalized those vendors. We got better contracts for all the brands collectively. We now only have a handful of vendors, each doing different things. And we're saving millions of dollars. This is particularly important when you think about the fact that Carnival Cruise Lines is committed to now printing brochures again, which will -- they can do in a much more efficient manner and save us some additional money. So it's things like that, that will bode well for 2014. And there's lots of little examples that add up to many millions of dollars around the corporation.
Felicia R. Hendrix - Barclays Capital, Research Division: Okay, that's helpful. And then just on the revenue side, the pricing survey work that we do implies that the company -- or just the -- some of the brands are doing some significant base loading in the second quarter. I was just wondering if you could talk about the traction you're getting as you're trying to implement that strategy. And when you look out that far, are you seeing a more normalized booking curve?
David Bernstein: As I think I had indicated, I mean, the booking volumes for the first half are up, but they are up at lower prices. Clearly, as we've said a number of times over the last year, where we are, we are at the lower end of -- or slightly below our historical booking curve. So we are trying to catch up. We are encouraged by the volumes. And so it's hard to relate to the scraping that you do because the scrapings, in many cases, only relate to prices on a few cabins and not to the overall yield trend for us. So hopefully, that provides you some additional color.
Operator: Our next question comes from Steven Kent from Goldman Sachs.
Steven E. Kent - Goldman Sachs Group Inc., Research Division: Sure, a couple of questions. First, are you -- on close-in bookings, are you seeing any improvement as you get closer to departure? And then more broadly, on the Costa and Carnival brands, any sense on when those brands recover to pre-incident levels?
Arnold W. Donald: On the recovery -- this is Arnold. On the recovery of Costa and Carnival, we said in previous calls that, traditionally, other industries, other incidents, 2 to 3 years for recovery. The Costa recovery has been impeded somewhat by the weak European economy and just the weakness in a lot of the markets where Costa sources their passengers. But we are seeing lifting in yields and occupancy in Costa, but the recovery may take longer than the 2- to 3-year norm that [Audio Gap]
Operator: Our next question comes from Harry Curtis from Nomura Securities.
Harry C. Curtis - Nomura Securities Co. Ltd., Research Division: Just to follow-up on a couple of prior questions. Can you give us a sense of -- your cumulative bookings for the first half of the year, you said they're still behind. Can you put a number behind that in terms of your occupancy today, looking into the first quarter versus where it was a year ago? Or I'm just wondering to what extent you're behind. [Technical Difficulty]
Arnold W. Donald: Sorry, everyone, it seemed to have dropped. We have no idea what happened, but we apologize. I'm not sure exactly where we dropped and where we were in the comments. So I'll just repeat the answer to the question to make sure we covered it. Concerning the Costa and Carnival, as I was saying, the Costa recovery has been somewhat impaired by the weak situation in the European markets where a number of the passengers are sourced. So we are seeing some delay. However, the Costa yields are trending up, as is occupancy. With regards to Carnival, we've experienced some accelerated recovery in Carnival, experiencing that and especially here in the fourth quarter, the fourth quarter that just closed, but we are cautious looking forward to make certain we have a clear view after the wave season given the added capacity that's going into the Caribbean. But at this point, certainly, the Carnival recovery is a little bit ahead of that 2- to 3-year time frame that is conventional kind of thinking concerning recovery of brands that have suffered incidents.
David Bernstein: And as far as the question about the last-minute bookings, for the fourth quarter, clearly, the last-minute bookings were strong and better than we expected, particularly at Carnival Cruise Lines, which is why we exceeded the guidance. We have anticipated within our guidance for 2014 good bookings throughout the year, particularly the last minute, which is all baked into our best estimate of guidance where yields are down slightly for the year.
Arnold W. Donald: Okay, thank you.
Operator: Our next question comes from Jaime Katz from the Morningstar.
Jaime M. Katz - Morningstar Inc., Research Division: Can you guys talk a little bit more about some of the advertising and marketing spend you guys are doing in 2014, and how you expect the cadence of that to occur? And then just any changes to your CapEx spending in the years ahead, would be helpful.
Arnold W. Donald: Yes, I'll comment on the advertising spend, to an extent, and then I'll have David comment additionally on the CapEx. Concerning advertising, in the fourth quarter, we clearly invested heavily in Carnival, but we also invested across a number of other brands to generate demand. And that is continuing into the first quarter of next year. For the full year, we'll be substantially ahead in 2014 in total advertising spend versus what we spent, say, in 2012. And we'll also have an increase over what we've spent cumulatively in 2013 as well. So we are investing more heavily broadly in advertising and promotion to stimulate demand. David?
David Bernstein: Sure. Yes, the expected CapEx for 2014 is $2.9 billion. For '15, it's $2.8 billion; and for '16, it's $2.9 billion.
Operator: And we have a follow-up question from Harry Curtis.
Harry C. Curtis - Nomura Securities Co. Ltd., Research Division: So the question I was coming back to was just your cumulative bookings. You mentioned we're still behind for the first half of 2014, and I was wondering if you could put a little more color behind that.
David Bernstein: Yes, Harry, we don't get into a lot of detail. I mean, we are a couple of -- a number of percentage points behind. A lot of this has to do with what happened throughout 2013. But in some cases, some of our brands felt that they would rather be patient. We could have moved the booking curve closer in by lowering price, but in many cases, you're better off being patient waiting, holding your price, knowing very well that the bookings will come at a higher price. So we are trying to manage that, as we always do, and hopefully, we will maximize the yields for 2014.
Harry C. Curtis - Nomura Securities Co. Ltd., Research Division: So at this point, you're just not -- they're close enough to last year that you're not panicking, in other words.
David Bernstein: Oh, no, no, no. It -- believe me, if -- we never let the bookings get too far behind. The -- we're always carefully managing that on a voyage-by-voyage, cabin-by-cabin category basis.
Beth Roberts: And I think it's fair to say we...
Arnold W. Donald: Beth has a comment. Go ahead.
Beth Roberts: It's fair to say we've gone up a few...
David Bernstein: Percentage points over the last 13 weeks, that's correct.
Arnold W. Donald: [indiscernible] bookings went up [ph]?
David Bernstein: Yes. Yes, the booking volumes [indiscernible] 13 weeks have been significantly better and we did catch up a few points.
Harry C. Curtis - Nomura Securities Co. Ltd., Research Division: And then moving to my second question. Regarding Asia, can you just remind us how much capacity that you have there now and what your plans are to expand, and expectation for pricing, and kind of returns per berth versus what your other opportunities in Europe and in the Caribbean?
David Bernstein: Yes. Overall, Asia is probably about 5% of our capacity for 2014. The yields in Asia are a little bit below the overall corporate average. We have talked a lot about a continued expansion into Asia. So you'll hear more about that in the future. And as far as the returns, keep in mind that it is early and we are continuing to invest, particularly in the advertising and promotion, throughout the region. So it is fair to say that the returns in Asia at the moment aren't where we'd like them to be, but we do expect over time for them to increase and we do expect it to be a solid part of our business in the future.
Micky M. Arison: Expect to double the number [indiscernible].
Arnold W. Donald: Yes, we've sourced 0.25 million passengers and we'll be doubling that to over 0.5 million in 2014.
Operator: Our next question comes from Steve Wieczynski from Stifel.
Steven M. Wieczynski - Stifel, Nicolaus & Co., Inc., Research Division: So without actual quantitative yield guidance out there for 2014, you're just, at this point, saying down slightly. What are maybe the 2 or 3 swing factors that could be -- that could be a brand, that could be a specific market, that would drive those yields either to positive territory, say, 1% or 2%, or down 1% or 2%?
David Bernstein: That's a -- it's a tough question. I think the whole concept here is, as I said before, it's early, there's a lot of uncertainty. The brands are recovering. So it...
Arnold W. Donald: Pre-wave.
David Bernstein: It's pre-wave. So we're not giving a specific number, but clearly, we will have a much better indication during the wave season. And so by the time we get to March, I think we will be in a much better position because, as we've said before, that during the wave season, a big chunk of the third quarter, which as Arnold said is a lot of our profitability is booked, so we'll have a much better feel for where we are for the year when we get to March.
Steven M. Wieczynski - Stifel, Nicolaus & Co., Inc., Research Division: And then on the fuel consumption side, you're forecasting that to be down again in 2014, which is pretty impressive given that, that would be 3 years in a row. So can you help us think about what's driving that consumption down, and how much more of that is to come in the future?
David Bernstein: Yes. Well, I guess, in terms of the future, we've been consistently saying that there are so many things we're working on, on the horizon. And by the way, we do have 101 ships, so not every ship have we implemented every single fuel consumption savings yet. So as the ships go into dry dock, we continue to roll out new things. And we do expect, as we've said, in the long term, 2% to 3% fuel consumption reduction each year for about as far out as we can see. We're talking 4% for next year. We did a little bit better. And these things come both in tweaking the itineraries and also in new technology that we put on board the ship. One of the things that has been a great fuel saver is -- are the air conditioning, the HVAC systems. HVAC probably represents 25% of our fuel consumption. And anybody who owns a house knows that if they install a new air-conditioning compressor versus maybe the 10- or 15-year-old one that they had in their house, they're going to save on their electric bill. Well, the same thing works true on a cruise ship. So we are -- that's part of our CapEx. We are installing those things, as well as lots of other things which create savings for us.
Operator: Our next question comes from Assia Georgieva with Infinity Research.
Assia Georgieva: David, maybe you can help me with a couple of quick questions. Occupancy in Q2 versus Q1, do you feel that it is ahead? Or do you -- are you -- are the brands still holding on Q2?
David Bernstein: The whole first half was behind. I didn't give any specific color by quarter, but the whole first half is -- was behind at this moment but catching up. Both quarters are catching up at this point. The bookings for both quarters are good. So that's why, instead of going through the details for each quarter, I just tried to give the whole first half summary. And it's pretty much the same for first versus second, except the first is further booked than the second at this point, which is what you would expect.
Assia Georgieva: Right. And could you quickly give us the capacity increases by quarter? And you don't have to go through North American versus the EAA, if you can just give us the quick number for the corporate total.
David Bernstein: Sure. Hang on one second. Let's see, the first quarter is 1.8%; second quarter, 4.9%; third quarter, 2.2%; third (sic) [fourth] quarter, 2.5%...
Beth Roberts: Fourth quarter.
David Bernstein: Fourth quarter, 2.5%; and the full year is 2.8%.
Assia Georgieva: Great. This is very helpful. And I will try to ask this question. It probably won't get answered. But when you use the same kind of language that Howard likes to use, down slightly, should we be thinking down 1% to 2%, or down 3% for the fiscal 2014 yields?
Micky M. Arison: You were right at the start of the question.
Operator: Our next question comes from Ian Rennardson from Jefferies.
Ian Rennardson - Jefferies LLC, Research Division: Two or 3 questions, please. Would you consider retiring more ships? And if so, how many in '14 and '15? Secondly, could you give us some idea on your initial thoughts, I know it's a long way away, but on your cost, x fuel, for '15, what sort of plans do you have there in for 2015? I'm also slightly intrigued by the wide range of the earnings forecast at $1.40 to $1.80. Why would you -- you've already said that you're behind on the historic booking curve, so what gives you the -- even the comfort to give such a wide range as that? And then finally, just could you just strip out of those CapEx numbers you gave, David, what is maintenance, what is newbuild, please?
Arnold W. Donald: Okay, concerning the first portion of the question, in terms of lay up or selling off ships, obviously, we evaluate that on an ongoing basis all the time. Clearly, we took out a Costa vessel this year. But if a vessel is not sustaining its contribution over time, obviously, we'll lay it up. And then as some vessels age, when there is a market -- and as you know, there's not a big secondary market for these ships. When there is a market, we'll divest of it. But that's an ongoing evaluation. And we look for sustained indications to make a decision, but we have no problems whatsoever laying up or discontinuing ships that are not contributing. In terms of the costs for 2015, at this point, I'd say that, obviously, we will continue with our focus on costs. We will continue to invest to stimulate demand and innovate our products to drive ticket yields and revenues because that's the bigger engine, but we will continue to focus on cost. And through the collaboration and coordination across the brands, we're expecting to show good cost performance going forward.
David Bernstein: I think, on the cost side, the only thing I'd like to add is we have said a number of times that we expect net cruise costs, excluding fuel, to be flat to half of inflation in the long term. We hope that we can do better than that, and we strive to do better than that, but that's a good starting point for guidance for '15 going forward. As far as the range is concerned, traditionally, we had given a range of, let's say, $0.20 in December. If you look back, that's where most of the years were. Because of the greater degree of uncertainty, we widened the range. And there wasn't any particular magic to the $0.40 range. Keep in mind that every percentage point on yield is $0.15. So what we're talking here is a range that maybe is a little over 2 percentage points on yield. Percentage points of cost is $0.09. So that's got to be factored in as well. But that gives you some indication. And we do feel comfortable with the range, and that's why we put it out there.
Micky M. Arison: I would also say, with the issue of having 2 brand recoveries going on and being behind in booking patterns, of how wave shakes out becomes increasingly important. And so sitting here and having to give guidance before wave is just much more difficult in this situation than it would be in a normal operating environment. So it was just a prudent decision to broaden the range.
David Bernstein: And the last question as far as the CapEx is concerned, for 2014, it's about $1.4 billion of non-newbuild. It's also $1.4 billion for 2015. And for 2016, it's about $1 billion of non-newbuild CapEx.
Ian Rennardson - Jefferies LLC, Research Division: But just to confirm: no current plans to retire any ships in '14 or '15.
Micky M. Arison: Not making any announcements today.
Arnold W. Donald: Right. Yes, no announcements.
Operator: Our next question comes from Tim Conder from Wells Fargo Securities.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: Just a couple of other items here. Can you just reframe for us -- the, I think, Costa yields in 2012 were down 15%, you've stated that before. And then we had some recovery. Can you just remind us the recovery we've seen by year in Costa, and then just how the Carnival brand yields impacted for the full -- were impacted for the full year?
David Bernstein: Sure. Costa, you're right, it was down about 15% in 2012, and the recovery was 4% in 2013. And we do expect to see continued recovery in 2014. The Carnival yields, keep in mind that the first half for -- particularly the first quarter for Carnival Cruise Lines was very strong. So the yields for the year were down, like, in the mid-single digits. The back half of the year was obviously a tad higher than that.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: Okay, okay. And then Arnold, you talked about multiple initiatives here, not only today but prior, and it sounds like there's more detail still coming. If we back up, and as you've had some time now to frame everything, is there any, I guess, guesstimate at this point as to what new normalized cost, x fuel, would be on a go-forward basis and, I guess, relative to where they were in '11, so pre-Concordia?
Arnold W. Donald: Yes, I would say that the comment David made earlier about keeping costs flat to half of inflation is the best guidance we can give at this point. But clearly, we're just beginning the process of building on the base of collaboration that existed across the brands and expanding on that significantly, with incentives, with processes, et cetera, in place to capitalize on it. And as we find those opportunities and execute against them, we'll share it along the way and the picture will reveal itself over time. But at this point, we do not have a new target set or anything of that sort.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: Okay. And then lastly, if you could give a little more color on the -- what was going on in the other North American premium brands? You called that out in your preamble, that there were a little bit of pressures there. Just a little more color on that, please.
Arnold W. Donald: Well, there is a combination of factors that have affected both Holland America and Princess. Part of it is a portion of their business is sourced from Europe, where in 2013, the consumer base was a bit weaker than it had been in the past, and significantly weaker. It's also fair to say that there has been a significant supply increase in the premium segment in some areas in recent years. And our brands were coming from an above-industry-level performance in a number of the segments they participate in and continue to be above industry in a number of the segments. So on a year-to-year comparison, I think those are some of the contributors, and there are others. At the same time, the team is working very hard to stimulate demand and improve it. And we're very pleased with the response we're seeing right now in the booking volumes. And particularly in Europe, and we're very high on our premium brands.
Operator: Our next question comes from Patrick Scholes from SunTrust.
Charles Patrick Scholes - SunTrust Robinson Humphrey, Inc., Research Division: There was pretty negative investigative report out from CNN this week concerning the Triumph. I wonder if you have any type of official response to that report.
Arnold W. Donald: Well, I think the -- first of all, the language quoted on the network that did it is not from our ticket contract. They pulled some information out of context from a motion to dismiss the suit. It's a frivolous suit. We stand behind our product. We stood behind it after the Triumph incident. We immediately refunded passengers their cruise fare, we gave them a future cruise. We arranged for food and lodging and transportation. And we gave each passenger an additional $500 to cover expenses. Our ships our safe, they're sound and they're sea worthy. And we've always stood behind our product and we'll continue to do so. But it's a frivolous suit. I'm disappointed they got any airtime whatsoever. And again, even with that, it was still mischaracterized on air.
Operator: Our next question comes from James Hollins from Investec.
James Hollins - Investec Securities (UK), Research Division: Two questions from me, please. The first one is on the scrubbing technology. I was wondering if the sort of technology you're putting in now would actually erase any issues around the stricter emission control air [ph] compliance coming in, I believe, 2015. I think you've previously guided to that maybe being a $265 million extra cost in '15. I was wondering if that is now sort of lower than that. And the second one's a more generic question which you can choose to answer in any way you like, Arnold. But are the sort of changes you're putting through now -- obviously, you've been there 6 months. Are they -- should we consider them as sort of incremental changes to bring down the cost based? Or are you sort of starting a more fundamental cultural change within the group, which should see quite a few changes in the way the actual business operates?
Arnold W. Donald: Yes, I think I'll answer the latter part first, and then we'll get to your energy question. But with regard to the culture, it is a fundamental change in culture, but is building on things that the leaders in the organization were kind of doing one-off or in pairs occasionally, anyway, and that is collaborating and coordinating, okay? And so that is the culture change, though, because the brands were fiercely independent in the past and even protected information from each other. And so it's absolutely a culture change. Now in terms of the fundamental changes in how we work or the scale of targets and that sort of thing, the reality is we just have scale. So with 78 million passenger cruise days, little tiny changes adds up -- add up to significant dollars, tens and tens of millions of dollars and hundreds of millions of dollars. And so while they're small changes, they yield big impact. And by working together, communicating, collaborating, there are so many arenas that the team has already pre-identified. And as I mentioned, we're in the process of sizing those and prioritizing them from a complexity, investment required, time to realization, all your normal things you would apply to prioritize projects and go after them. So there are significant opportunities. With regards to the energy, and I'll let David make a few comments as well, but first of all, I just want to say that, absolutely, the scrubber technology helps us mitigate a lot of the emission standard costs that were referred to earlier. And in fact, with the scrubber technology, we'll be well above the emission standards without having to burn, in many instances, the higher-grade fuel, which clearly will mitigate those costs. But I think David had a couple of other comments. Go ahead, David.
David Bernstein: Yes. The testing on the scrubbers still is very positive and everything seems to be going very well. We're in the process of updating that calculation that you mentioned, where last year, we disclosed the $265 million impact. At this point, it's fair to say that more than the majority of that $265 million will disappear, so the number will be less than half, but it's a little early for me to give the exact number. It's a complicated calculation that looks at all 101 ships and looks at the itineraries in 2014 that we have out there. And we'll disclose -- some more details in our 10-K. But it's fair to say it's more than the majority will disappear.
Operator: Our next question comes from Sharon Zackfia from William Blair.
Sharon Zackfia - William Blair & Company L.L.C., Research Division: Just a few questions. I guess, first on fuel costs, if you could talk about what you expect for that fuel cost per metric tonne for the full year, I think that'd be helpful. And then at the event in November, you had talked about a few things, including web traffic improving for the Carnival brand through November. I'm just curious whether that's continued into December, and if there are any corollaries to the marketing message you've been broadcasting for Carnival that are learnings that you could extrapolate to the other brands in terms of the marketing philosophy or methodology?
David Bernstein: Okay, as far as the fuel price per metric tonne, Sharon, it was in the press release. The full year is $650 per metric tonne on 3.2 million metric tonnes. So that's our fuel expense for 2014. As far as the web traffic is concerned, I personally haven't gotten an update on that. I will say that we have seen a uptick in overall web bookings from the prior year, a couple of percent. And as far as the marketing is concerned...
Arnold W. Donald: What was the question?
David Bernstein: Oh, Sharon, can you repeat the marketing question?
Arnold W. Donald: Can you repeat the marketing question, Sharon?
Sharon Zackfia - William Blair & Company L.L.C., Research Division: Yes. So it seems like you've had some success with the Carnival marketing, and I'm just curious whether there are any learnings from what you've done with Carnival that could be extrapolated to the other brands?
Arnold W. Donald: I think, 2 things. One is, a little early to tell, but I would say that I think the marketing, the advertising campaign for Carnival helped all brands, ours and others in the industry as well. Even though it was, for us, Carnival-specific, it gave a general cruise message as well, and I think it helped everyone. Each of the brands have their own particular marketing approach. They are all investing heavily in that, and we expect to see good results across the brands from their individual efforts.
Sharon Zackfia - William Blair & Company L.L.C., Research Division: And just as a follow-up, David. Just so you know, I don't think that table was actually included for the full year for fuel prices and so on -- oh, wait, now I see it. Never mind.
David Bernstein: It's okay. No problem.
Arnold W. Donald: Okay, not a problem.
David Bernstein: People make that mistake once in a while.
Operator: And our last question comes from Richard Carter from Deutsche Bank.
Richard A. Carter - Deutsche Bank AG, Research Division: A couple of questions, please. Firstly, on marketing, do you see the step-up in marketing costs this year as recurring? Or do you see the potential for them to step back down in 2015? And then secondly, on onboard spend, is it possible -- I think it was up 4% in Q4. Can you break that down between North America and Europe? And it's obviously been improving now the last couple of quarters, and some of your competitors have seen some very strong onboard spend inflection in the last couple of quarters. So could you just talk a little bit about what's driving that as well, please, and if you can, what your expectation and outlook is on onboard spend going into '14?
Arnold W. Donald: On the marketing spend going into 2015, obviously, we'll look at the results we get in 2014. We'll make an assessment of whether pulse spending is the proper way to go in some of the brands. And so it's too -- it'd be premature now to predict exactly what would occur in 2015, but what I can assure you is that we will invest, we will learn from the investments and we'll continue to invest when we believe we can get a return for it. And so if we invest more heavily in the future, we would anticipate that it would be driving additional profits to the bottom line and, more than likely, yields as well at the ALBD level. So that would be the comment on that. Dave is trying to look up the other...
David Bernstein: On the onboard spend, overall, for 2012, we were just up 0.5%. I mean, the fourth quarter in constant dollars was up 1.2%. And I think I had said previously that the fourth quarter was driven by about a 2% increase in EAA and that was tempered by the North American yields being flat. Flat in the fourth quarter for North America was an improvement, I had indicated over the third quarter. So the trend seems to be in the right direction. Given where we were for 2013, what we built into the 2014 guidance was yields up a little over 1%. We are doing lots of different things on the onboard revenue side to booster that number up. Our operating companies, some of them, are continuing to roll out the all-inclusive drink program; the high-end photography; and other things. So we are looking to see better yields, and I hope we can beat that number.
Arnold W. Donald: I want to thank everyone for your support and interest in our company. And thank you for being on the call. A sincere happy holidays to everybody. Kelly, thank you very much.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.